Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss StarTek's financial results for the fourth quarter and full year ended December 31, 2020. Joining us today are StarTek's Executive Chairman and Global CEO, Aparup Sengupta, the company's CFO, Vikash Sureka and the company's President, Rajiv Ahuja. Following their remarks, we will open the call for your questions. Before we continue, we would like to remind all participants that the discussions today may contain certain statements, which are forward-looking in nature, pursuant to the safe harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to the various risks and uncertainties that could cause actual results to differ materially. StarTek advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of the risks and uncertainties. StarTek does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include some non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurements. The reconciliations can be found in the earnings release under Investors section of their website. I would like to remind everyone that a webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Now, I would like to turn the call over to StarTek's Executive Chairman and Global CEO, Aparup Sengupta. Sir, please proceed.
Aparup Sengupta: Thank you very much Dillon. Good afternoon everyone and thank you all for joining. As we closed out 2020, we drove record results across nearly every key financial metrics during the fourth quarter. In addition to generating solid growth and benefiting from seasonal strengths within our existing client network, we maintained our keen organization-wide focus on cost management during the quarter. These catalysts helped us drive both sequential and year-over-year profitability improvements with the record performance on both gross profit and adjusted EBITDA. Our accomplishments this quarter and throughout 2020 is a testament to the diligent tireless work of our global teams. Q4 typically serves as a higher volume period for our business as we help our clients manage elevated customer demand around the holidays. This holiday season served as a particularly high demand period for our e-commerce clients as their process increased customer order volumes and facilitated more frequent customer service interactions. In addition, we experienced robust volumes for clients in the healthcare and education verticals. While clients in these three verticals experienced strong tailwinds throughout 2020, our revamped technological capabilities and organization-wide efficiency added even greater value to their experience management capabilities during this period. This in turn opened up new lines of business for us during the quarter and into 2021, providing additional opportunities for bringing our more robust optimized suite of services to the market. On a broader scale, we advanced our recovery from the mid-year lows of the pandemic at a healthy pace. As of today, approximately 98% of our pre-COVID global workforce is active and providing our usual high-quality service for our clients and their customers. Further, to preserve our team's health and adhere to current pandemic-related restrictions around the world, we have about 55% of our workforce working remotely and other 40% working out of brick-and-mortar campuses. Our StarTek Cloud omnichannel platform has allowed us to seamlessly facilitate this hybrid work environment with capabilities that enable team members to work productively from any remote device while preserving the continuity and security of our customer interactions. Rajiv will be on the call later to discuss our operational progress in further detail. But I am extremely proud of how StarTek has emerged as the last year's challenges as stronger, more efficient organization. StarTek Cloud has also served as exciting catalyst for our renewed long-term focus on advancing our digital initiatives. We anticipate that the hybrid remote work structure is here to stay for the long term and as such, expanding our digital capabilities will help our revenue growth and operating leverage going forward. As we recently announced, we have made a strategic minority investment in CSS Corp., an IT services and technology support company that provides mission-critical AI, automation, analytics, cloud and digital solutions. CSS serves high-growth technology customers across five continents with a platform-based service model that is well-suited for optimizing the future of technology-driven customer engagement. As part of our evolving digital driven go-to-market strategy, we will work with CSS as a sister organization to develop areas of collaboration over the next three to six months, primarily in three areas. One, develop a go-to-market strategy to leverage CSS platform-based technology support services to our existing customers and develop new customer opportunities for these services. Two, enhance complementary value creation by creating new service offerings by leveraging our service delivery capabilities under StarTek Cloud and a focused service offerings from CSS across AI, automation, analytics, cloud and digital solutions. And three, develop cross-sell opportunities at arm's-length basis where we can bring additional value to customers by leveraging the additional service offerings and enhanced footprint of the companies. These are early days and we will work to develop and define areas of collaboration that allow StarTek and CSS to maintain their distinct identities and value proposition to customers while being able to leverage each other in pragmatic and dynamic ways. I want to reiterate how proud I am of the progress we sustained throughout 2020 and of our team's incredible adaptability within the most challenging global conditions we have ever faced. Now, for a more comprehensive overview of our fourth quarter and a full year financial performance, I will turn the call over to our new CFO, Vikash Sureka. Vikash brings 25 years of extensive finance experience to StarTek, having previously served as a CFO of IBS Software and held financial leadership positions at Wipro Limited and App Labs Technologies. We are grateful for Ramesh Kamath's significant contribution during this past two years as CFO. With that said, please join me in welcoming Vikash to the call as he joins StarTek during an important juncture in our company's evolution. Vikash?
Vikash Sureka: Thank you for the warm introduction, Aparup. I am equally excited and honored to lead the finance organization of StarTek as we embark on our next phase of growth and digital expansion. Jumping right into our results. Net revenue in Q4 increased to $174.5 million, up 7.2% from Q3 and up slightly from $171.6 million in the year-ago quarter. This sequential and year-over-year growth reflects elevated demand and seasonal strength within our existing client base. On a constant currency basis, net revenue increased by 4.7% compared to the year-ago quarter. Gross profit for Q4 increased to $30.9 million, which is up 34.9% from Q3 and up 12% from $27.6 million in the year-ago quarter. Gross margin increased to 17.7% which is up 360 basis points compared to 14.1% in Q3 and up 160 basis points from 16.1% in the year-ago quarter. Similar to our topline, the sequential and year-over-year increases in gross profit and margin reflect strong growth within our client base and the greater revenue mix of higher-margin digital services. The Q4 gross profit includes benefits from government grants of $2.7 million. Selling, general and administrative expenses for Q4 were $15.4 million, compared to $14.9 million in Q3 but decreased relative to $19.4 million in the year-ago quarter. As a percentage of revenue, SG&A improved to 8.8% compared to 9.1% in Q3 and 11.3% in the year-ago quarter reflecting the continued benefits of cost reductions we have implemented over the last 12 months. Net loss attributable to StarTek shareholders for Q4 \was $7.6 million or minus $0.19 per share, compared to a net income of 40.4 million or $0.01 per share in Q3 and a loss of $5.3 million or minus $0.14 per share in the year-ago quarter. Net loss in the fourth quarter of 2020 includes $13.2 million goodwill impairment caused by reduced business outlook in India, Australia and South Africa due to COVID-19 impact and devaluation of the local currency in Argentina. Adjusted EBITDA in Q4 increased to $23.3 million, up nearly 49% from Q3 and up 38.2% compared to the year-ago quarter. As a percentage of revenue, adjusted EBITDA increased to 13.3%, up 370 basis points compared to 9.6% in Q3 and up 350 basis points compared to 9.8% in the year-ago quarter. The increase was primarily driven by our aforementioned revenue growth, margin expansion and cost reductions as well as incremental benefits that we received in certain regions. Adjusted for incremental grants, our adjusted EBITDA for fourth quarter was $20.5 million. From a balance sheet perspective, at December 31, our cash and restricted cash was $50.6 million compared to $56.6 million at September 30, 2020, with the decrease due to higher capital expenditures incurred in Q4. Total debt at December 31, 2020 remained flat at $136 million, compared to September 30, 2020. Net debt at December 31, 2020 was $85.4 million, compared to $79.4 million at September 30, 2020. We continue to remain comfortable with our liquidity position as it stands today and focus on prudently managing nonessential expenses and other costs to preserve the optimal efficiency of our operations. Now, let me briefly review StarTek 's full year 2020 performance. Net revenue in 2020 was $640.2 million, compared to $657.9 million in 2019. The overall decline was led by adverse forex movements, particularly in Argentina and India. On a constant currency basis, net revenue increased by 0.9% compared to 2019. The COVID-19 induced on revenue we witnessed during Q1 and Q2 was offset by elevated seasonal volume in the second half of 2020. Gross profit in 2020 was $89.6 million, compared to $110.9 million in 2019 and gross margin was 14% compared to 16.9% in 2019. Adjusted EBITDA in 2020 was $58.1 million, compared to $52.1 million in 2019. This represents an increase of 11.6%. As a percentage of revenue, adjusted EBITDA was 9.1% in 2020, up 115 basis points compared to 7.9% in 2019. While gross profit production was driven by higher costs related to revenues in other geographies that were severely impacted by COVID-19, the overall adjusted EBITDA increase was driven by our ongoing actions on cost reductions and continued focus on prudent cost management. Net loss attributable to StarTek shareholders in 2020 was $39 million or minus $0.99 per share compared to a net loss of $15 million or minus $0.39 per share in 2019. Net loss in 2020 included $35.9 million goodwill impairment we recorded in 2020. As I mentioned before, we had entered 2021 with a strong financial and operational foundation and have taken additional steps to advance our progress. Subsequent to fourth quarter, our wholly owned subsidiary CSP Alpha Holdings successfully completed a debt refinancing with a newly secured $185 million senior debt facility which comprises $165 million term loan and $20 million revolving credit facility. The term loan bears a moratorium on principal repayment for 21 months and will amortize on a quarterly basis beginning in November 2022. This facility further expands our liquidity position and enables us to extend the maturities of our debt. With the current flexibility of our balance sheet, we are well-poised to not only support our ongoing operation but also capitalize on strategic opportunities to drive long term accretive growth. This concludes my prepared remarks. I will now turn the call over to Rajiv. Rajiv, over to you.
Rajiv Ahuja: Thank you Vikash. To reiterate a theme Aparup mentioned at the beginning of the call, we have made excellent progress in driving organizational efficiencies and more fully utilizing and optimizing our technology throughout 2020. StarTek Cloud has continued to play a key role in keeping our global workforce connected and highly productive, whether our team members are working from home or in one of our campuses. We successfully implemented an RPA solution for one of the largest e-commerce companies in India and implemented a social media suite LISA for a global leader in IT hardware and consumer electronics. We continue to invest in developing new solutions and tools for our customers and have developed an in-house communication and collaboration tool called Xchat [ph]. We have also developed an after-call work automation with a partner to drive further efficiencies in call handling. In addition, our centralized virtual global command center has been a crucial resource for keeping track of our customer experience touch points all across our network. Being able to monitor our effectiveness around the world has allowed us to ensure the best possible productivity and continuity of our operations and client service. The success we have driven with our hybrid and work-from-home solutions have helped us solidify our real estate capacity planning for 2021 and going forward. We are still working towards our long term target of having 30% of our global workforce working remotely ad the majority 70% working in our brick-and-mortar campuses. We will continue to look and monitor closely the needs of our clients and any potential changes in lockdown status around the world that may change our targeted ratio or time line for achieving it. However, things are certainly continuing to look better around the world as we hopefully soon move past the pandemic. Consumers increasingly expect seamless and instantaneous service with fast response times and solutions that are highly tailored to their specific needs. As such, we recognize that our platform should not only provide these types of experiences, but also continuously connect and act upon the data needed to advance our capabilities even further. With greater infrastructure in areas like AI and competitive analytics, we gain further insight into how to strengthen our customer experiences through the entire customer lifecycle, from initial acquisition to long term retention. This ultimately promotes long term customer client growth and allows us to continue attracting high-growth, high-margin clients who need top tier solutions for their enterprises. We are not looking to be the low-cost provider in the market, but instead a premium first-class provider that the leading companies in the world could turn to. We have just about emerged from the most challenging global operating environment we have ever faced, an environment that is full of volatility, uncertainty and change which is why I am proud to say that the progress we have made over the past year has been nothing short of remarkable and the numbers that have just been announced back this thesis of mine. We have emerged stronger and more resilient and this journey would not have been possible without the agility displayed by our global operating teams. And while the vaccine is out there and we are all hoping life starts heading back to normalcy, we have also learned that in a way, we are just getting started and we have plenty of growth opportunities ahead to capture in 2021 and beyond. With that, I would now like to pass the call back to Aparup for his closing remarks. Aparup"
Aparup Sengupta: Thanks Rajiv. If there is one point that 20/20 has proved, it is of the environments in which we work and our customer service take place are rapidly evolving. This shift is occurring through and beyond the unique pressures that last year's pandemic-related challenges placed on our business and BPOs around the world. The sudden transition that we and many organizations have had to make towards remote work threatened to diminish the level of visibility we had in our global operational performance, let alone the continuity of our services. Across client verticals we serve, businesses have had to quickly scale and strengthen their infrastructure to not only facilitate remote and hybrid work for their teams but also provide digital optionality for their customers amid COVID-19 restrictions on physical shopping and other transactions and service based experiences. As this pandemic restrictions gradually ease, this trend towards the digital-led customer experiences will not slow and revert back to old ways. We are proud to have built such a dynamic and agile operational framework that allowed us to persevere through the pandemic, but prouder still that we are making the investments necessary for expanding this foundation into an even more advanced and comprehensive suite of digital services. The strength of our balance sheet and the many growth opportunities have placed us in a prime position to continue our operational momentum through 2021. At this important inflection point of our company, we have tremendous flexibility to continue optimizing our services and making key investments in support of our long term profitable growth strategy. So Dillon, we will now open the call for questions.
Operator: [Operator Instructions]. I show our first question comes from the line of Dave Koning from Baird. Please go ahead.
Dave Koning: Yes. Hi guys. Thanks. A nice job. And I guess, my first question, I just wonder about a couple of what looked like one-off items. The government grant that you got it, is that sustainable? And then secondly, it looked at your non-controlling interest line, the negative $3.35 million, that implies really good profitability from that business. Is that sustainable? So I guess those two things, just wondering about any sustainability or recurring nature of those two?
Aparup Sengupta: Vikash, will you take that?
Vikash Sureka: Yes. I didn't kind of get the second question. But on the first question, usually we do get certain government grants. But this time, in Q4, we did get additional incremental grants of about $2.7 million. That clearly is not sustainable on a long term basis. I didn't follow the second question. Please, can you repeat?
Dave Koning: Yes. Sure. So the second question, the non-controlling interest line below the income was $3.35 million. So it seems to imply really good profitability within that interest. I am just wondering if that's sustainable?
Vikash Sureka: Yes. That is sustainable into the future. Of course, you will always find that our Q4 volumes are higher. So that drives higher profitability and revenue. But adjusted for that, it is sustainable.
Dave Koning: Okay. Good. And then I guess my one other question, the interest expense now with the refi, how should we think about the interest expense on a quarterly basis or full year basis going forward?
Vikash Sureka: If you see the gross debt of the company, right, in Q3 we were at $136 million. And that continues to be at $136 million. And the new refinancing that we have done, that takes the gross debt to $185 million. Of that, we expect about $165 million to be use up, right. And the balance will be available for us for working capital needs as we go forward. But broadly, on the $165 million, our overall interest rates will linked to LIBOR. So to that extent, you will see an uptick in interest expenses. But the yield will be very similar.
Dave Koning: Got you. Okay. Well, thanks. Good job, guys.
Vikash Sureka: Thank you.
Aparup Sengupta: Thank you.
Operator: Thank you. I show our next question comes from the line of Zach Cummins from B. Riley. Please go ahead.
Zach Cummins: Yes. Hi. Good afternoon. Thanks for taking my questions and congrats the strong end to year. It's really been impressive to see the business really turnaround from the trough in midyear 2020 to see where you are now. But I mean, in terms of the pace of business, I mean can you comment on kind of what you have seen exiting Q4 and thus far into Q1 of this year? It seems like you are pretty confident in your growth prospects going forward.
Aparup Sengupta: Yes. I think I will give a very high-level and Rajiv will cover a little bit more. Clearly, pandemic was something that everybody learned and just not us, I mean, including the customers. They have also realized that there could be a new normal and therefore we attempted to do things. There were change in behaviors that clearly was visible in terms of people unable go to shops and therefore e-commerce took an uptake. So all this put together plus the potential thought of going back to normal life as induced in the added behavior of customers to engage in customer service related activities like e-commerce and educational sectors, they showed some growth momentum. So overall, we feel that there is a growth momentum ahead of us. And therefore, we never realized that we will be able to accomplish this looking at, if you remember, Zach, when we talked in Q2, this was something which was almost unthinkable. But I would say that to we worked together as a team. We were very resilient. We responded to situations at a very agile manner and Rajiv will cover how our global command center was looking at things on a minute-to-minute, hourly basis and therefore we took decisions and we moved ahead. At the same time, we conserved and preserved. On the customer behavior side, Rajiv, would you like to make some comments?
Rajiv Ahuja: Sure Aparup. Thanks. Hi Zach. So if you remember, on one of the previous earning calls, we had discussed and this was when we were in the midst of the pandemic, as to what the future would look like and at that point of time, a number of economics were saying that it could either be a W-shape recovery, V-shape recovery, a U-shape recovery or any other share recovery. I think going into Q4, what we saw was probably a V-shape recovery with the news of the vaccine getting out, I think business sentiment improved and as such some of the sectors started running hot. So obviously, we were the recipients of some of that added demand. The contraction in demand that we had experienced across Q2 and Q3 especially started easing out and slowly and gradually that volume started picking up. I also take you back to when I said in one of our previous calls where we have three broad mantras that we had laid out within the organization which was slash, adapt and rebuild. Well, we continue to slash, we continue to adapt and we continue to rebuild. And I think it's a combination of the two that has led us to deliver a stellar Q4 and hopefully we will be able to sustain that momentum as we move into the quarters to come.
Zach Cummins: Understand. That's helpful. And then turning to gross margins, I know you had a slight benefit from the government credit in this quarter. But I mean how are you thinking about gross margins on an ongoing basis as you continue to manage that balance between growth and profitability?
Rajiv Ahuja: Aparup, you want to take that?
Aparup Sengupta: No, you can take that. Yes, Rajiv, go ahead. You can take that, yes.
Rajiv Ahuja: Sorry, okay. Yes. Zach, I think we continue to focus on our direct and indirect costs. We continue to manage our labor very, very tightly. As we had mentioned in our prior calls, we have already given up 10% of our global capacity and we will continue to examine ways and means to rationalize further capacity that we are currently holding. And a combination of all these, we are hoping will continue to be able to deliver the gross margins that we have expect through them.
Zach Cummins: Understand. And then been just a final one for me. With your investment into CSS Corp., I mean I guess this will be a two-part question. But what will determine the ultimate decision of whether you will take a majority stake or not at some point down the road? And then just in relation to CSS' business model, can you give us a sense of their margin profile and their revenue streams? I get they essentially have more of a recurring revenue model with these technology-focused customers.
Aparup Sengupta: Yes. So I will take that. CSS Corp., we know them for quite a long time. They are a great company. They primarily do tech support for technology-based companies. A lot of their customers are in the Silicon Valley and these are all growth companies and high-growth companies. So their EBITDA are in high-teens in terms of profiles. And clearly, we initially did not have the balance sheet to buy CSS, to be very honest. So we said that we will take a minority position because what it does is it gives us the tech support capability. And as you know that we have already mentioned in our announcement that we have the ability to take a controlling stake of the company in the next two years. So we have kept both options. First option was that we have a position in that company and they become a sister company. And option two is that we have the ability to combine these two assets at some point in time in the next two years. But most importantly, I think what it gives us is the ability to synergize each other's capabilities, especially in the tech support area, especially in the digital area where we can work together as teams.
Zach Cummins: Understood. Well, thanks for taking my questions and congrats again on the really impressive progress you guys have made exiting this year and the potential growth ahead.
Aparup Sengupta: Thanks Zach.
Operator: Thank you. I show our next question comes from the line of Omar Samalot, a private investor. Please go ahead.
Omar Samalot: Hi guys. How are you?
Aparup Sengupta: Hi Omar. How are you?
Omar Samalot: Good. Congratulations. What a great turnaround. What a great quarter. You guys obviously have done almost the impossible. So my sincere congratulations you.
Aparup Sengupta: Thank you.
Omar Samalot: I wanted to start with your margins progress and I wanted to see if you could say, to what extent would you say that margins were impacted by workforce hire or retraining as agents that return to in-campus environments faced changes in programs or different processes because of all the different changes that were going on COVID and the different approaches?
Aparup Sengupta: See, there is no standard answer to this because each situation is different and gross margin is a function of how do you manage the efficiency of a program. And the efficiency of the program is managed based on several counts. And Rajiv can elaborate that on a little bit more. But at a high-level, as you know we moved from a brick-and-mortar situation to at-home situation. And the at-home situations, obviously we had some uptake on maybe better utilization because we did not have absenteeism. If a person said that, yes, I am ready, he's there. He's not absent. But in a brick-and-mortar situation, you design your operating metric almost on a daily basis. And then you have people who don't show up. So those are some of the advantages we had. So overall, margin behavior is a very complex subject. It's just not one or two criteria based on that you can come up with forecast. But yes, I mean the overall margins have definitely improved and thanks to additional volumes and thanks to a very large part of our workforce working from home, so these have added to the advantages and basically given us an uptake on the margins. Rajiv, would you like to add any more points and color to this, because there is no specific answer.
Rajiv Ahuja: Yes. I think you have kind of broadly summed it up, Aparup. But just to add to Omar's, just to clarify further, so Omar, I think what happened was when the pandemic broke, I think we were in a defensive formation at that point of time because we lit up a work-at-home solution and we had spoken [indiscernible]
Aparup Sengupta: Hello. Is it just me or have we lost Rajiv? Okay.
Operator: Pardon me, I think Rajiv's line disconnected. He should be joining momentarily. Rajiv, you may proceed.
Rajiv Ahuja: Yes. Thank you. My apologies. The call dropped. Am I audible? Yes. Sorry. Aparup, can I take a minute just to further qualify what I was saying? Okay. So Omar, I where I dropped off was that we were in a defensive formation. We had lit up a work-at-home solution but we were stranded with a fair amount of capacity that we were paying for. And then what we did over a matter of time, over the next few quarters, was to release approximately 10 percent of our global capacity which translates into approximately 4,500 seats, thereby offsetting some of those early losses. And then, simultaneously, as volumes started picking up and a greater amount of our work force came back on stream and I take you back to what Aparup said during his opening remarks whereby he gave you the split of what our active work force looks like today versus the pre-COVID levels. We are at 98% of our work force today is live and in production, split 55% and 43%, 55% being work-at-home and 43 percent being brick-and-mortar which has helped us ensure that the pickup that we just spoke about resulted in us delivering the kind of numbers that Vikash just announced a few minutes ago.
Omar Samalot: Okay. That's very helpful. And maybe a quick follow-up on that. Are you able to quantify for us the improvement achieved in terms of capacity utilization rates from pre-COVID to now after shedding the idle excess capacity of around 10% that you have mentioned?
Rajiv Ahuja: Yes. So great question, Omar. So as we see demand picking up, our brick-and-mortar centers, we are now making sure that they are ready, willing and able to receive new volume that our sales team is in hot pursuit of. We do not anticipate bringing it to a stage where we won't have any saleable seats that are left. So any number that I give you right now would include seats that we have specifically earmarked for new businesses to be coming in and we are very hopeful as we move forward that with new business coming in, we will have the capacity available. Because the last thing we want to do right now is to give up capacity and three months from now set about lighting up another altogether new facility. So any number that I give you right now will probably not be truly indicative of what the capacity utilization looks like because towards the beginning of the year, it will probably be a misrepresentation because we have penciled in a certain number as growth across 2021 and a large part of these seats that are now vacant have moved away from the stranded bracket to we are keeping them wakened so as to be able to receive new revenue.
Omar Samalot: Okay. Got it. Okay.
Rajiv Ahuja: Sorry. My line got dropped. So, sorry about that, yes.
Omar Samalot: Okay. In terms of your India market, I was wondering if you can talk about that for a minute. On the supply side, what is the status in terms of mass transit constraint and lockdowns as things have eased up a bit? And then on the demand side, I have read a couple of articles and press releases that mentioned over 2,000 people were hired during October to address the increase in demand in both Hindi and English language. And I also saw a recent article where Rajiv was quoted saying that 2021 are expected to increase headcount by 3,000 to 4,000 in the year. So I was wondering maybe how much of that was for the India market? And any comments that you can provide for that?
Rajiv Ahuja: Sure. And once again, I think I want to be careful of what I say considering, Omar, you are following most of whatever I am getting published out there. So thank you for giving me that advance warning. But going back to some of what I have been quoted on, that was a result of us acquiring in India a few logos. So we started the year on a good note and we hope to continue to increase our share of the wallet with new clients that we have acquired. On the other hand, our operating teams, our program management teams as well as our sales teams have done a phenomenal job in India growing existing client relationships and acquiring new lines of businesses from existing clients. And that is why I put together a sum of all that and said we are hiring approximately close to 4,000 people very, very soon across largely the Tier 2 and Tier 3 cities. And these, as you rightly pointed out, are largely domestic support which basically means Hindi and some of the other regional languages that exist in India, coupled with English language support also in a number of lines of businesses.
Omar Samalot: Very good. That's very helpful. Okay.
Rajiv Ahuja: Do you have questions, sorry, Omar? Do you have a question about mass transportation opening up? And I know we have discussed that on prior calls, slowly and gradually, India has started easing up on its restrictions. And mass transportation has gradually, like I said, started improving as a result of which our workforce now finds it far more easier to come into our brick-and-mortar centers. And that was a challenge that we had called out in prior calls. So with every passing quarter, India, vaccination is now out there. I think India is probably the country that has vaccinated, if not the most, it's probably the second most number of people that have already been vaccinated. So the sentiment is certainly improving and we hope to be riding on that wave as we go through the next few quarters.
Omar Samalot: Very good. Okay. And then my final question. I know you guys do not offer guidance and I was wondering, you seem to be in a much better position liquidity-wise, financially-wise. You have got great revenue diversification at this point. Great cost realignment, a growth trajectory it seems, scalable operation, investment now in CSS. So I am kind of wondering what do you think will give you the confidence at some point to maybe go out on a limb a little bit and offer some type of guidance in the future?
Aparup Sengupta: We continue to not provide guidance as a matter of principle even today, largely because we are still working on several fronts and I think it is good to give thematic approach and that's more important because end of the day we have articulated from the very beginning that we will be a digital-led company. And when we say that, we want to execute around that. So we have not only delivered at the back of pandemic, StarTek Cloud opportunity. That is not available in the marketplace for our customers to take. We have also went ahead and diversified ourselves in terms of making a minority investment in CSS Corp., which is into very advanced analytics and AI and robotics. So that's the kind of guidance that we will be able to give. In terms of numbers, they pan out depending on the cycles that you catch in terms of the early growth stage or the middle of the growth or the tail end of the growth and a new growth. So those are variables. And it will not be wise for the management team to focus on that. The management team is focused on, I would say, behavior and belief and then it becomes. So your question is, the market always wants what is going to become. But we will rather go and see how the become happens because it's at the back of belief and behavior. So that's what we as a team are focused on. And we are driving and all of us together are driving towards those goals. And if you do those first two things right which is believe and behave, become is going to be an ultimate byproduct. So it's a philosophical answer but I think that's the best way that we feel comfortable in terms of driving, putting our heads down and working towards the context that is ahead of us.
Omar Samalot: Okay. Very good. Well, thank you very much for taking my questions and congratulations again and good luck to you. The future looks very bright.
Aparup Sengupta: Thank you.
Rajiv Ahuja: Thank you Omar.
Aparup Sengupta: Hello Dillon? Hello. Rajiv, are you able to hear me?
Rajiv Ahuja: Yes. We can hear you. Dillon, are you there?
Operator: Yes. I am, sir.
Rajiv Ahuja: I just wanted check if there were any other questions queued up? Dillon? Dillon, are you there? Rajiv, can you hear me? Okay, yes. He can. I think for some strange reason, probably Dillon is not able to hear us.
Operator: I can hear you, sir. Can you hear me?
Rajiv Ahuja: Okay. Yes. We can now hear you. Dillon, I just wanted to check if there were any other questions that were queued up?
Operator: No sir. I show no additional questions. You may proceed with your closing remarks.
Aparup Sengupta: Okay. Thank you, Dillon, very much and thank you all for joining us this afternoon and for your continued support of StarTek. I look forward to speaking with you next when we report on our first quarter results.
Operator: Ladies and gentlemen, thank you for attending today's conference call. This concludes the program. You may all disconnect. Good day.
Rajiv Ahuja: Thank you everyone.
Aparup Sengupta: Thank you everyone.
Vikash Sureka: Thank you everyone.